Operator: Welcome to the FY 2015 Q2 Earning Release Call. My name is Angela and I will be your operator for today's call. At this time, all are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Mr. Todd Adams. Todd you may begin.
Robert McCarthy: Actually this is Rob McCarthy. Good afternoon and welcome everybody. Before we get started I need to remind you that this call contains certain forward-looking statements that are subject to the Safe Harbor language contained in the press release we issued today as well as in our filings with the SEC. In addition, some comparisons will refer to non-GAAP measures. Our earnings release and SEC filings contain additional information about these non-GAAP measures and why we use them. Today’s call will provide an update on our overall performance for the second quarter of our fiscal 2015. We'll cover specifics on our two platforms and update our outlook, followed by an overview of our financial statements and liquidity highlights. Afterwards we’ll open the call up for your questions. Please note that we are excluding Mill Products from our analysis. As we disclosed in May, that we are considering strategic alternatives for this non-core product line, and as a result have excluded Mill Products from our fiscal 2015 guidance. With that, now I’ll turn the call over to Todd Adams, President and CEO of Rexnord.
Todd Adams: Thanks Rob and good afternoon everyone. Thank you all for joining us today for an overview of our fiscal 2015 second quarter financial results. On our call a quarter ago we talked about our expectations that our core growth would accelerate in the second quarter and that we expected a relatively higher level of growth to be sustained in the second half of our fiscal year. In both cases you review our release and you'll hear on the call, we're largely still tracking to those same expectations muted somewhat by weaker European industrial lag. We delivered 3% core growth in the quarter and expect our core growth in the second half to be between 3% and 4%. The incremental perspective we have that we're incorporating into our outlook is weaker European industrial demand that we saw late in our second quarter and through October heading into what is traditionally a seasonally stronger period for us from an activity standpoint. Simply put, a large portion of this is food and beverage and market related that usually picks up in September and into Q3 and Q4 that we're not seeing. This is a good business for us and it offset some of the underlying progression in our served markets that has largely played out as we expected. The expected end market progression, plus the incremental investments we're making in growth both organically and inorganically give us the optimism about sustaining a higher rate of growth in the fiscal year that begins next April. Later in the call I'll provide more color related to our outlook. Before I turn to the second quarter financial performance, I'd like to run through a few highlights that are important from a long-term value creation perspective. Over the last week we've announced two strategic tuck-in acquisitions that are accretive to our margins and to our core growth. Both Tollok and Euroflex add complimentary products and faster growing categories to our Process & Motion Control platform with significant opportunities to leverage our extensive go to market capabilities that will expand the growth opportunity both geographically and in terms of served markets in these categories. Once Euroflex closes and these two acquisitions we will have invested $112 million on two proprietary acquisitions at a sub eight times EBITDA multiple with very solid current and expected returns on invested capital. With Euroflex we also add well-established engineering and manufacturing capabilities in a lower-cost country which we will leverage. Consistent with that strategy, we have recently hired an experienced executive to service our new regional executive for India and the Middle East that will really help us accelerate our growth strategy in these regions across both platforms. In addition, we recently hired a new leader for our business development team with a proven track record of strategic acquisition funneled development as well as effective acquisition execution and we remain confident that we will continue to accelerate the value creation opportunity to further acquisitions. As we discussed in May and in August, we've made good progress on concluding the review of strategic alternatives for our Mill Products business and continue to anticipate a resolution for the end of our fiscal year. Turning to the core business, we continue to move forward on a broad front of RBS driven initiatives to improve our cost structure, drive growth and further strengthen our overall competitive positions. During the quarter we named new Presidents for the power transmission and aerospace groups in our Process & Motion Control platform. The addition of these group Presidents as well as the executives I previously discussed really completes the build-out of our senior leadership team. I'm very happy with the team we have in place and excited about what I believe this team can do to create value for our customers and shareholders over time. Let's turn to page four and cover some of the financial highlights for the quarter. Our second quarter financial results were generally in line with our expectation for profitability and free cash flow with adjusted EPS of $0.40 despite our top line coming in slightly below our expectations, but still growing 3% on a core basis. Overall sales increased six as acquisitions during the past year continued to perform well and contributed 3 points of growth in the quarter. We also saw sequential improvement in each of the platforms as core sales declined 1% in our Process & Motion Control platform down from a 4% decline in the first quarter and we delivered 10% core growth in our Water Management platform. Positively and as we've been projecting over the past couple of quarters, the headwind to core growth in both material handling end markets did indeed moderate significantly in the second quarter as we anticipated and combines with an otherwise mostly unchanged market outlook with the exception of European demand which makes up proximally 17% of our overall Process & Motion Control sales. With respect to earnings-per-share our adjusted EPS increased 38% year-over-year driven by 41% growth in net income offset by about 4 million more share outstanding. In a few minutes Mark will take you through our solid free cash flow performance in the quarter compared to the prior year as well as the leverage reduction we saw in the quarter and expect over the next six months. Turning to our PMC end markets, demand trends remain generally stable in markets outside of Europe positively and as we've been projecting over the past couple of quarters, the previously severe impact on our core growth from weaker mining CapEx and declining shipments from our backlog to our mining sector customers moderated significantly in the second quarter. Given the stable order rates we continue to see across most of our other end markets, particularly in North America which accounts for about 60% of platform sales, we expect core growth at PMC to recover further in the second half of our fiscal 2015 and into 2016 as a two-point growth headwind from a lower mining backlog base. Despite some of the uneven market dynamics constraining near-term growth in PMC, ongoing strong execution again helped enable expansion in PMC's adjusted EBITDA margin despite a small negative core growth and we continue to execute against opportunities we see to continued to drive 30% to 35% incremental EBITDA margins over the next several years while investing both organically and inorganically to improve the fundamental growth profile of the platform. We expect ongoing execution of our cost and productivity initiatives driven by the Rexnord Business System to enable us to continue to make investments that enhance our core growth potential even as our sales mix suffers temporarily from the weaker than expected sales levels in Europe. Turning to our Water Management platform, simply we had a very strong quarter with 12% overall growth and margin expansion which demonstrates the progress and conviction we have around achieving a 200 basis point improvement in the adjusted EBITDA margin in this fiscal year. Our core business grew 10% and acquisitions contributed 3%. The ongoing success of RBS directed initiatives on drawing better execution, productivity and permanent cost reductions, give us confidence in our ability to drive 20% to 25% incremental EBITDA margins into an improving set of end markets over the coming years. Market fundamentals in our Water Management platform remained strong. The recovery in the U.S. nonresidential construction sector continues to gain traction and our confidence in an outlook for sustainable North American market growth over the next few years continues to grow. Our performance continues to solve the outpaced measures of overall market growth and we have a strong pipeline of new products that will have an increasingly positive impact competitively. Global order activity also remained strong for our water and wastewater infrastructure products with the evident and favorable impact from our RBS directed cost reduction efforts is helping drive improved margins. With six months of fiscal 2015 now behind us I want to close with a little color on our third-quarter and full-year guidance. Our current outlook assumes the weaker European markets will constrain our second half core growth to 3% to 4% compared to the 6% we contemplated at the beginning of the year. Adjusting the second half core growth to the lower end of our prior expectations would predictably lower the midpoint or EPS outlook to the bottom end of our previous range or to a $1.60. Also refreshing our currency assumptions heading into the second half to reflect the strengthening value of the dollar and the resulting impact it has an adverse translation from euro, which hits us over the next six months by about $0.04 after only a penny impact in the second quarter. That gets you to the midpoint of our revised EPS range guidance of $1.56 or 16% year-over-year growth. Our overall EPS guidance range is $1.52 to $1.60 which represents EPS growth in the range of 13% to 19%. For the third quarter, we expect sales to be in the range of $496 million to $504 million and adjusted EPS in the range of $0.29 to $0.32. As previously discussed, all of these figures exclude no products. Before I hand it over to Mark, just a couple of thoughts on how we're thinking about the medium-term performance of Rexnord heading into next year. In Water Management we're seeing the performance we expected in the platform both in terms of growth and profitability based on the execution of our strategy. This is encouraging because it is happening against the backdrop of what we see is an improving set of end markets. In PMC, we're navigating well through a lower growth year constrained by reduced backlog coming into the year some moderate headwinds in some geographies and end markets that in aggregate should improve into the next couple of years. Our free cash flow was strong and we expect to continue to make progress executing against our M&A funnel with a more talented deeper management team committed to leveraging the business system to drive long-term value creation in the coming quarters and years. With that, I'll turn it over to Mark to cover some of the financials.
Mark Peterson: Thanks Todd. On fiscal prior quarter we will speak primarily to adjusted operating and EBITDA, our adjusted net income and adjusted earnings per share as we feel these non-GAAP measures provide a better understanding of our operating results. Slide 5 of the presentation reconciles our reported results with adjusted results. Turning to page 6, I'll discuss our operating performance highlights for the second quarter. Please note that our analysis excludes the results of our Mill Products business in both years. Second quarter sales increased 6% from the prior year period to $531 million, adjusted operating income increased to $82 million and adjusted EBITDA increased to $110 million with margins improving by 50 basis points on a year-over-year basis. Second quarter adjusted net income was $42 million resulting in adjusted earnings per share of $0.40 an increase of 38% from the prior year comparable figure due to the increase in operating income and the benefit of the debt refinancing we completed last year. Cash flow was significant stronger than during last year second quarter and adjusted free cash more than doubled to $63 million. Next I'll take some time on slide 7 to walk through the operating performance in our Process & Motion Control platform. Sales in the second quarter increased 2% year-over-year to $305 million as the core sales decline of 1% was more than offset by that 3% contribution from acquisitions. The core sales decline in the quarter was driven by weaker than expected sales in Europe as well as a diminishing but expected headwinds from our bulk material handling end-markets. Turning to profitability, adjusted operating income and EBITDA were roughly flat year-over-year and margins were a little changed. We remain focused on leveraging the RBS system to effectively manage our cost structure while continuing to invest in our strategic growth initiatives. Turning to page 8, I'll make a few comments on our Water Management platform. Water Management sales in the second quarter increased 12% from the prior year to $226 million. Core sales growth contributed 10% and acquisitions accounted for 3% while currency had a negative 1% impact. On a year-over-year basis, second quarter adjusted operating income increased 210 basis points and EBITDA margin increased 160 basis points to 17.4%. Margins benefitted from the ongoing success of RBS directed initiatives on driving execution proficiency and cost reduction as well as higher treatment levels in our water infrastructure markets. As Todd mentioned earlier in the call we continue to expect margins in Water Management to expand by at least 200 basis points in our fiscal 2015. Moving to slide 9, I'll touch on our capital structure and liquidity. We finished the second quarter with $361 million of cash and $699 million of total liquidity. Total debt was $1,937 million and net debt was $1,576 million resulting in a net debt leverage ratio of 3.7 times at the end of the quarter. as we look out over the back half of the year taking into consideration the recent acquisitions we will project our net debt leverage to continue to decline to the 3.4 to 3.5 times range. Subsequent to the end of the quarter we took action to further reducing the amount of variable rate debt on our balance sheet. In October we put in place 3% interest rate cap on $750 million of our outstanding debt through October 2018. The cap allows us to continue to benefit from the current low interest rate environment as the cap premium will not really begin to impact our interest expense until fiscal 2018 or protecting against sudden and significant change in the level of interest rates by capping interest expense at 6% to 6.33% if LIBOR was to go above 3%. With this cap and a soft place one year ago we now have 73% of our debt protected from any sudden and significant change in the level of interest rates and we will continue to manage this exporter going forward. Before I turn the call back to the operator to take any questions you may have I'll make a few formal comments on our outlook. In addition to the elements of guidance that Todd has earlier in the call, based on the presentation also aligns our assumptions for an incremental margin, interest expense, depreciation and amortization, stock option an LIFO expense, our effective tax rate, free cash flow, capital expenditures and fully diluted shares outstanding for fiscal 2015. In addition, our guidance assumes to be not incurring any non-operating other income or expense as we do not forecast realized and unrealized gains or losses from foreign currency fluctuations, gains or losses on the disposal of assets for other items that are recorded in this P&L line item. Our guidance also excludes the Mill Products business, the impact of potential acquisitions and divestitures in the future non-recurring items such as restructuring costs. One last guidance item I want to highlight is expected cadence for our effective tax rate in the third and fourth quarters. For the third quarter, we expect our effective tax rate to be approximately 35%. In the fourth quarter we anticipate an effective tax rate of approximately 21%. Our full year tax rate guidance remains unchanged of approximately 30% for the year. With that, I'll turn the call back to Rob.
Robert McCarthy: Thank you Mark and Todd and thanks to everyone for joining us on the call today. (Inaudible) providing further updates when we announce our fiscal year 2015 third quarter results in early February. With that, I'll turn the call back over to the operator and we will open it up for your questions.
Operator: We will now begin the question-and-answer session. (Operator Instructions) our first question is from Mig Dobre from Robert Baird. Please go ahead.
Mig Dobre - Robert Baird: Good afternoon guys.
Todd Adams: Hi Mig.
Mark Peterson: Hello Mig.
Mig Dobre - Robert Baird: I guess my first question a clarification on guidance, as I understand it you ended up cutting your core growth guidance by 150 basis points for the second half to 3.5% and it's all PMC driven with Europe being a drag, but just sort of running through some math PMC is 60% of revenue, Europe is less than 20% of business. So that would imply that growth in Europe is 12% lower than you originally anticipated. That seems like a high number. So are things that bad in Europe or is there something else we should be thinking about here?
Todd Adams: Mig, I think your math is probably close. You know, I think what we are saying is that we saw September weaker than we thought. We saw October weaker than we thought. So we should be growing sort of mid-single digits you know in terms of what we expected heading into our second half and we're sort of down single digits. So the gap is probably close what it is you are highlighting as it relates to what's new relative to sort of last time we provided an outlook.
Mig Dobre - Robert Baird: I mean, sorry to press you on this, but it seems to me like it would have to be something else other than just Europe unless we're talking about Europe really being down double digits here.
Mark Peterson: And I think maybe just to clarify. You know we're sort of highlighting Europe but it's probably Europe and a little bit of Asia given the fact that a lot of the equipment that's manufactured in Europe gets exported to Asia. So the end demand is probably more Asia driven. We see it sort of manifest itself in Europe. So either way you're right in that we were expecting sort of low mid single-digit growth and were seeing low mid single-digit contraction. And a couple of these businesses are likely quite good and so we felt compelled to take a hard look at it. We hope maybe we're being a little more conservative. But at this point we're doing what we think is right given we still have six months left in our fiscal year.
Mig Dobre - Robert Baird: All right, I appreciate the color there and I guess my follow-up, I know you hired a new VP of Corporate Development. So maybe a little more color on the gentleman's background, what he brings to the team and maybe how confident you feel about reaching or maybe even exceeding your target for 25 million of acquired EBITDA?
Todd Adams: Sure. Rodney Jackson we hired to lead our corporate business development activity, he comes to us from Danaher. He was one of the small group of folks in the corporate development office there. Prior to that he was with Pentair, so he's got extensive experience with very, very high quality acquisitive industrials and we're very excited to have him as part of the team working with Mark and I as well as our group executives and the current team to execute what we think is going to be a great M&A story over time. As it relates to the progress, we feel very good about it. If we look, you know this year we will have over the first six months of the year done three acquisitions, were greater than 80% of the way there in terms of what we said we were targeting with six months to go. And so, again we don't know if, I'm not going to project what happens, but I think the demonstrative capability of three proprietary deals at sub eight times within a six-month period I think gives you the conviction that we feel pretty good about it.
Mig Dobre - Robert Baird: I appreciate it, thank you.
Todd Adams: Yep.
Operator: Our next question is from Julian Mitchell from Credit Suisse. Please go ahead.
Julian Mitchell - Credit Suisse: Hi thank you. Just a couple of couple of questions on Water Management. You know first I think you'd called out the book-to-bill in the water infrastructure was just over 1.2 in Q1, just wondered what that is now and also how you see the kind of turnaround or project management improvement in VAG specifically?
Todd Adams: Yes for the second quarter it was 1 so for the first half it was just under 1.1. And as we've coached people look at the book-to-bill in halves. So you know, the first half being 1.1 or 1.09 I think is a very good sign. Our project management capabilities that we're implementing are really a strong positive inside the group. So we've done some movement of folks from some of our existing businesses with strong obvious backgrounds into the group that are paying dividends right away. So we're optimistic about our ability to continue to grow the backlog and execute the backlog profitably going forward.
Julian Mitchell - Credit Suisse: Thanks and then on the restructuring, you know on the last call you talked about sort of $5 million to $10 million range for the year of spend, I think you spent about $5 million in the first half. Have you sort of pushed up the restructuring range given the slower growth in Europe?
Mark Peterson: Yeah Julian this is Mark. I think you know we've talked last call kind of 5 to 10 in the nine months of our year, so we kind of look at where we sit today. We sit in the first half about $5 million expect in that 9 to 10 type range in the back half our year, so call it 14 for the year. And as we talked about and Todd talked about earlier on the call we continue to look at our cost structure and opportunities and you may see some more activity late in the year or going into next fiscal year.
Julian Mitchell - Credit Suisse: Great, thank you.
Operator: Our next question is from Rob Wertheimer from Vertical Research Partners. Please go ahead.
Rob Wertheimer - Vertical Research Partners: Hi good evening everybody.
Todd Adams: Hi Rob.
Rob Wertheimer - Vertical Research Partners: Just a quick question, did the ex bulk material did you say it was 2% for the quarter organic?
Mark Peterson: The adverse impact of bulk material handling in the quarter was probably a little bit more than 2% about 3 points of headwind in the quarter. We're saying for the year it will end up being about 2 points the PMC core growth.
Rob Wertheimer - Vertical Research Partners: Okay. And so you're basically fading, I mean does that underlying you know the compass is normalizing, does that underlying business get worse than you thought and coverage you thought or you’re finally going to be through the next quarter?
Mark Peterson: No, actually you know the order what we said coming into the year was we expected you know order rates to be flat year-on-year and we’re seeing that. So the book-to-bill in our sort of bulk material handling business through the first half is really positive, it’s about 1.1 maybe a little bit better. So we’re seeing the reduction of backlog a bit, we’re seeing the order rates pick back up, so that’s why we feel confident that next year you know that 2 point headwind this year from the backlog reduction at a minimum goes away from what we see from here. So we do see it’s getting better consistent with what we said as we started the year.
Rob Wertheimer - Vertical Research Partners: Okay, perfect and this one is a small one, but the $0.4 of currency is a little higher than we had, maybe I’m not understanding, do you have like a net production exposure here in the U.S. that is causing headwind in the margin maybe you can expand on it if there’s any interesting there? Thank you.
Mark Peterson: Yeah, we don’t it’s pretty, it’s much simpler than that. It’s really when we walked into the year it was sort of €132-€135 $1.25 today in the businesses that we're translating from Euros to U.S. Dollars are relatively profitable. So it’s that change in the Euro translation rate against let’s say a relatively profitable European business for us.
Rob Wertheimer - Vertical Research Partners: Perfect that’s good, thanks very much.
Operator: Our next question is from Charlie Boorady with BMO Capital Markets. Please go ahead.
Charlie Boorady - BMO Capital Markets: Thanks, good evening guys.
Todd Adams: Hi, Charlie.
Charlie Boorady - BMO Capital Markets: Just on the water platform for a minute, can you just maybe give a little more granularity on Zurn and VAG and how they did in the quarter, kind of what you’re seeing a little more specifically as you look out at the back half of the year and particularly on VAG and some of the larger project stuff? And I guess I’ll just stop there.
Todd Adams: Sure, overall growth in the quarter was I think 12%. Obviously that currency was a little bit of a drag, but it relates to Zurn, Zurn was north of the 10% core growth number. VAG was a little bit below. We saw a one not a book-to-bill for VAG and you know a 1.09 I think for the first half. So as it relates to water, Zurn continues to perform really well on a core basis as well as the acquisition that we made in April of Green Turtle is growing at or above our expectations and we see the project activity in VAG relatively robust over our second half. So it’s great to see the margins where they are at 17.4% for the quarter. We think that's a pretty big down-payment on the expansion that we projected, not only this year but into that high teens over the next several years. So our confidence as it relates to the water platform performing as we have been anticipating is very high.
Charlie Boorady - BMO Capital Markets: Was there any discernable movement as a cadence in the quarter cadence of the month as you went through the quarter, anything unusual whether you know it started spiking up towards the end or beginning or you came out of the quarter different than you went in it?
Todd Adams: In into, in water Charlie?
Charlie Boorady - BMO Capital Markets: Yeah.
Todd Adams: No, no I think you know in Zurn it’s been steady growth throughout the quarter. In VAG you know we walk into the quarter with a good portion of that in backlog and really didn’t see much of any unusual activity as we exited the quarter or even into frankly October.
Charlie Boorady - BMO Capital Markets: Great, thanks.
Todd Adams: Yeah.
Operator: Our next question is from Karen Lau from Deutsche Bank. Please go ahead.
Karen Lau - Deutsche Bank: Thanks, good afternoon. 
Todd Adams: Hi Karen
Karen Lau - Deutsche Bank: Hey, so you've seen data has, I mean it’s been bad in August-September timeframe, but I think overall it has improved slightly and I think a lot of industrial companies caught out things being a little bit better it was stable, but it looks like you’re not seeing that into October. So was the weakness which you attribute the weakness to you know maybe some of the food and beverage projects getting pushed out or you know large projects getting pushed out and you know if that is the case, would you expect to regroup some of that later this year?
Todd Adams: We, I guess the way we’ve projected it Karen, it’s maybe a little bit unclear. The weakness that we saw and you can just go through the quarter you know July was generally in-line with our expectations. August in Europe is a very difficult month to get a read on just because of the holiday season and really lack of a lot of industrial activity. It didn’t start to come back in September as we had expected and it didn’t come back in October as we had expected. And I think the thing that, the takeaway is that the second half of our fiscal year as it relates to this European food and beverage business is substantially greater than the first half. So it’s not as if we’re projecting a business that's sort of readable throughout the year. We’re heading into a seasonally higher part of our year and we didn’t really see it in the first sort of couple of months that we should have seen it. So what we’ve done is sort of maybe take a conservative view and assume that we don’t see some of that traditional seasonality that we normally would and that’s the way we’ve positioned you know the guidance. We are obviously going for more, but at this point it just felt prudent for us to take the best information we had obviously work to improve that, but give you a view on what we’re seeing. I don’t think we are losing any massive projects. I don’t think that these things don’t shift that quickly. I think it’s a fundamental sort of weakness that we are seeing and there’s no reason to think it doesn’t come back at some point.
Karen Lau - Deutsche Bank: Okay, that makes sense. And then some of the companies, your distributors and some of your peer industrial companies have seen very good, very strong North American distribution results. So I'm just wondering how did your North American distribution business did in the quarter?
Todd Adams: It was good. I mean, I think it was sort of low mix single digit growth in the quarter. We saw some of the same, you know news that you saw around growth in industrial distribution. We feel like you know we saw it in-line with what we expected. We're continuing to make progress really growing install base and the aftermarket you know is even a disproportionally higher amount of the opportunity we see. So pretty good growth in the quarter and I think that's sort of tracking as we had expected.
Karen Lau - Deutsche Bank: Oaky, and then last, one could you give us a sense of whether you’ve baked in any contribution from the two acquisitions that you’ve closed and to the guide and what would be the annual run rate in terms of sales and EBITDA from those businesses?
Todd Adams: We’ve perhaps we have perhaps we haven’t. It’s probably close to $0.2 really for the quarter I’m sorry for the year from here. So if you translate that into next year it’s probably $0.7 to $0.8 on a full year basis. So that’s the contribution from the acquisitions on a full year basis. and I forget the first part of your question.
Karen Lau - Deutsche Bank: Oh, if you can break it down how much for the sales and the EBITDA contribution?
Todd Adams: Yeah, we’ll get to that and we're not going to give you the discrete numbers, but I think you could back into it using $112 million of proceeds at sub 8 times on an aggregate multiple, gets you to sort of up $14 million of EBITDA. And if you take the $35 million of sales that we’ve reported it’s about 35% EBITDA margin aggregate acquisition.
Karen Lau - Deutsche Bank: Okay, so on an annualized basis you said it is about $0.7 to $0.8 that we can sort of baked into next year.
Todd Adams: Yeah, it’ll be 5 to 6 incremental. Yeah.
Karen Lau - Deutsche Bank: Okay. Got it, okay thank you.
Todd Adams: Yup.
Operator: (Operator Instructions) Our next question is from David Rose from Wedbush Securities. Please go ahead.
David Rose - Wedbush Securities: Hi, a couple of follow-up questions. First, thank you for taking my call. If I can go through the acquisition, first of all Euroflex, I mean if I go through your press release and the Q it implies that your EBITDA margins are like 60% in that business if I’m not mistaken and $77 million you paid for $16 million in revenues. So what is it about the business that gets you there and maybe you are going to help us through you know some of the growth expectations you have?
Todd Adams: Your math is close. I mean they manufacture a high performance disk couplings to go into turbo machinery. So anything from you know 4,000 RPM and above these are essentially the couplings that protect the rotating equipment. So very, very high end applications, very sticky and frankly a growth area globally as it relates to energy. And these guys do an amazing job and have over the past 20 years in establishing the business. The technology, the engineering capability to serve sort of the market leaders at a price below competitors and so and they’re still making you know the type of margins that you’re talking about. So it’s a wonderful deal that's been in our funnel for three plus years and you know we're going to close the deal hopefully by the end of November, but it’s a great deal and you know that’s why.
David Rose - Wedbush Securities: Okay, now that’s helpful thank you and then if I can return to the F&B question, not to that spot, F&B, how much of F&B is out of Europe for you and how much of these are large products?
Todd Adams: Yeah, I'll let Mark get you the rough cap number, but it more over half.
Mark Peterson: It is, yeah that are originating out of Europe, yes over half.
Todd Adams: Well over half, it’s probably between 16% and 17%.
Mark Peterson: Yup, yup.
Todd Adams: The large project nature of it is yes. You know for the most part the project activity happens over the winter months, so you run the equipment sort of full out in the summer months and then do any maintenance repair, upgrading the machines, new capital over the winter months and that’s where you get that seasonal I’ll say you know lift that at this point we're really not seeing the benefit of that. I’m not saying projects that were missing, we’re just not seeing the number and maybe quantity of projects that we would have hoped for and lot of that has to do with maybe a weaker Asia or other things. But you know it’s one of those things where based on everything we’re looking at we just don’t see the big lift coming that we would expect to see. It is an offset, we're leveraging the technology there to grow into automotive and so it’s not just one of these take it down in weight scenarios. We've been trying to grow in the automotive space over the last couple of years making great strides and we continue to see automotive conveyance be a growth area for us. So, but yeah we’ve been maybe more cautious in Europe than others, but it’s an important business for us heading into a seasonally high part of the year and we haven’t seen it in September and we didn’t see it in October. Six months of our year left, so we felt that it would be the right thing to do.
David Rose - Wedbush Securities: I appreciate that and maybe we can move onto the Water Management business and are there any mix issues or anything you want to call out that through margins the way they went?
Todd Adams: No, you know I think nothing unusual from a project standpoint or mix. I think the only thing I would highlight is that the Zurn is seasonally strong in our first and second quarter and get seasonally weaker as the non res construction season in North America winds down over the December and March quarter and then picks back up. So aside from that on a year to year comparative basis and sequentially nothing that’s not repeatable.
David Rose - Wedbush Securities: Okay, perfect, thank you very much.
Todd Adams: You bet.
Operator: We have no further questions at this time.
Todd Adams: Thanks everybody for joining us. We appreciate your interest in Rexnord and we look forward to discussing our third quarter results with you in about three months from now. Good night.